Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Loop Media's Financial Results for the 2024 Fiscal First Quarter Ended December 31, 2023. Joining us today are Loop's CEO, Mr. Jon Niermann and the company's CFO, Mr. Neil Watanabe. By now, everyone should have access to the 2024 fiscal first quarter earnings press release, which the company issued earlier today at approximately 4:05 p.m. Eastern Time. The release is available in the Investor Relations section of Loop's website at www.loop.tv. In addition, this call will be available for webcast replay on the company's website. [Operator Instructions] Certain questions made on this conference call and webcast are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to certain known and unknown risks and uncertainties as well as assumptions that could cause actual results to differ materially from those reflected in these forward-looking statements. These forward-looking statements are also subject to risks and uncertainties that are described from time to time in the company's filings with the SEC. Do not place undue reliance on any forward-looking statements, which are being made only as of the date of this call, except as required by law. The company undertakes no obligation to revise or publicly release the results of any revision to any forward-looking statements. The company's presentation also includes certain non-GAAP financial measures, including adjusted EBITDA as supplemental measures of performance of our business. All non-GAAP measures have been reconciled to the most directly comparable GAAP measures in accordance with SEC rules. You'll find reconciliation charts and other important information in the earnings press release and Form 8-K furnished to the SEC. I would now like to turn the call over to Loop's CEO, Mr. Jon Niermann.
Jon Niermann: Thank you, and good afternoon, everyone. After three quarters of just over $5 million in revenue, we once again exceeded the $10 million quarterly revenue mark. Unlike Q1 FY '23, our Q1 FY '24 revenue contained little to no political advertising spend and was purely organic revenue off our core business. Quarter-over-quarter growth increased 79% from $5.7 million in Q4 of FY '23 to $10.2 million in Q1 of FY '24. In addition to the strong revenue growth, we saw the impact of our focus on lowering operating costs and network efficiency, which resulted in a significantly reduced quarterly adjusted EBITDA loss by 69% or $1.5 million as compared to $4.8 million in Q4 '23. As of December 31, '23, we had approximately 77,000 active Loop Players and Partner Screens across the Loop Platform which includes 33,783 quarterly active Loop Players or QAUs across our O&O platform, an increase of 26% or 6,880 QAUs over the 26,903 QAUs for Q1 FY '23 and a slight decrease of 3,238 over the 37,021 QAUs for Q4 FY '23. And approximately 43,000 Partner Screens across our Partner Platforms, an increase of 153% or 26,000 over the 17,000 Partner Screens at the end of Q1 FY '23 and 1,000 Partner Screens over the 42,000 Partner Screens announced for Q4 FY '23. Our QAU footprint for the first quarter of fiscal '24 was reduced as a result of natural attrition of Loop Players that were not immediately replaced as we transition to a more targeted distribution model, pivoting our focus to certain designated advertising markets and geographies as well as more desirable out-of-home locations and venues, including convenience stores, restaurants, bars and other retail establishment. We believe this targeted distribution plan will allow us to grow our active Loop Player numbers quarter-on-quarter and provide a more robust distribution platform for our advertising partners over time. In addition, a number of our Loop Players experienced downtime in late September and early October '23 as a result of an operating program update and technical issues related to outdated Wi-Fi in those venues. Not all of those Loop Players return to active performance in the first quarter of fiscal '24. We have now entered the notoriously worst advertising quarter of the year, between January and March, where we've learned to be more conservative in our expectations. But I am optimistic about the revenue ramp for the second half of 2024 and beyond. The increased awareness of the Loop TV brand and the expansion of distribution over the past year on our platforms and screens demonstrates that our sales and marketing efforts are giving us new client wins. Our approach is to leverage our business model to continue to gain new customers on a consistent basis while focusing on the venues and markets that we know provide the best return on our investment and potential for revenue growth. Moreover, we will look to explore strategic M&A opportunities that can allow us to leverage our platforms and networks further to integrate our company vertically. We will continue to focus on tightening the bottom line to achieve our goal of becoming cash flow positive as soon as possible. So that could mean further cost efficiencies will need to be realized while still being careful not to materially dampen future upside and growth. It's always a tricky balance to accomplish that, but we plan to keep a consistent eye on it. With that, I will turn the call over to Neil to take you through our financial results. Neil?
Neil Watanabe: Thank you, Jon, and good afternoon, everyone. As we review our financial results, I want to remind everyone that all comparisons and variance commentary refer to the prior year's fiscal first quarter, unless otherwise specified. In the 2024 fiscal first quarter, revenue was $10.2 million compared to $14.8 million for the same period in fiscal 2023. The current Q1 revenue does not reflect any benefit from political advertising compared to Q1 last year. Additionally, we have improved productivity in our revenue channels through our various initiatives as our revenue growth in the current Q1 improved significantly over the last 3 quarters. In the 2024 fiscal first quarter, gross profit was $3.6 million compared to $5.7 million for the same period in fiscal 2023. In the 2024 fiscal first quarter, gross margin rate was 35.6% compared to 38.4% for the same period in fiscal 2023. The decrease was primarily driven by revenue mix as the year ago period included a smaller portion of our partner platform business, which carries lower gross margin but higher operating margin. Total sales, general and administrative expenses, excluding stock-based compensation, depreciation and amortization, impairment of goodwill, and intangible assets and restructuring costs in the 2024 fiscal first quarter were $6.2 million compared to $8.0 million for the same period in fiscal 2023. The improvement was primarily due to a reduction in digital marketing spend, resulting in lower expenditures, and decreased payroll and other compensation-related expenses, partially offset by increased capital raise costs and bad debt reserve from growth in our receivable base on revenue increases. We continue to focus on gaining efficiencies in SG&A, which we expect to be reflected throughout 2024. Net loss in the 2024 fiscal first quarter was a loss of $5.3 million or a loss of $0.09 per share compared to a net loss of $5.3 million or $0.09 loss per share for the same period in fiscal 2023. Adjusted EBITDA in the 2024 fiscal first quarter was a loss of $1.5 million compared to a loss of $1.6 million for the same period in fiscal 2023, a slight improvement. Turning to our balance sheet. Cash and cash equivalents were $3.8 million on December 31, 2023, compared to $3.1 million on September 30, 2023. As of December 31, 2023, we had a total net debt of $7.1 million compared to $7.5 million as of September 30, 2023. Overall, we continue to focus on increasing our revenues, gross margins and leveraging our expenses in line with revenues as we plan to continue to reduce the adjusted EBITDA loss as we progress through the year. I'd like to thank everyone for listening today. We look forward to providing further updates on our next conference call. This concludes our prepared remarks. We will now open it up for questions. Operator, back to you.
Operator: Now we will open the call for your questions. [Operator Instructions] Our first question comes from the line of Eric Wold with B. Riley. Please go ahead.
Eric Wold: Thanks. Good afternoon, everybody. Appreciate taking my questions. So I've got 2 kind of questions. The first one has three parts to it, but I'll try to make it quick. And the first question is really around the reduction in the Loop Player in the quarter. I know you said that the net reduction was about 3,200 sequentially. Can you give us a little more color behind that in terms of how many you added versus how many you, I guess, removed or did not replace? And then the second part is, is this kind of a one quarter flush in the December quarter, or should we expect kind of natural attrition like that throughout this year? And can you actually have a net gain again in placements in the second quarter? And then the last part is just more thoughts around why that reduction was made. I know you want to get to more desirable venues and markets. But were these locations that were just not profitable if you kind of think about all the efforts and sales around them? Were they just not worth having a place anymore, or is it more you can take those -- take that equipment out and kind of more efficiently put it somewhere else using the same capital?
Jon Niermann: Thanks, Eric. I'll jump in on that. So we have 2 years of data behind us now. I think that's the most important thing. And as we look to make sure that our bottom line is as tight as it can be, we have to make sure that we're getting the best return on investment. So what we understand now was what type of venues performed the best. I'm clearly not going to get into that, just obviously for competitive reasons primarily. But we do know in terms of our performance, the types that we're going after, we mentioned some of those, but they're clearly others. And at the other end of that, we know the ones that don't perform well. So there's a couple of things that have happened. One, just like you have different technology with your phone, we're kind of in our whether it's third or fourth generation of a Loop Player. You have different iterations, each acquire updates. If certain venues aren't strong enough to handle those updates, so they don't push an update through and they're not generating enough airtime, it's really not worth our while to maintain those. So that's kind of where we have evolved in terms of that, what we'll call the natural attrition. So we learned better on targeting but we also learned if there was a particular issue with Wi-Fi, for example, we're not going to put the investment into replacing that player because we're not going to get the return that we want. So the second part of your question, can a net occur? Of course, we anticipate that. We believe it will. We want it to. We know it will. But it's going to be a smarter net for us going forward. So I think there was a little bit here of just time kind of coming our way to understand where these players are, how they're performing, the different geographies. When Bob is dealing with advertisers, he certainly knows the market, what they're going after and certain types of venues that they want as well. So just with all that information, we thought it was the best time at this stage, really just to kind of start paring those out and doubling down on the venues that we believe are going to be fine. So even though we took a little hit there, we're very comfortable with where we're going to be in 2024 of the growth of the players.
Neil Watanabe: And I'd also like to add just that Jon mentioned more targeting of venue, but as we've learned and analyzed the productivity of the player, we found that all the players don't perform the same geographically. And so part of the original distribution was just put them out wherever we can. And then as we started monitoring and measuring profitability, we found that advertisers really are looking for density in certain key DMA markets. And so we have been focusing more on those from a growth standpoint which overall will tend to improve our profitability. And our efforts are being more sniper versus shotgun approach on geographic locations for that region.
Eric Wold: Okay. That's helpful. And I guess my last question, I promise it will be a shorter one. You noted that the quarter itself did not have or had minimal political ad spend benefits in it. I know you're expecting a stronger recovery in the back half of the fiscal year after the kind of the Q2 typical debt or kind of slower period. What are you expecting for political ad spend? I guess, how much ad spend could you have as a percent maybe, or however you want to phrase it, in the back half of the year? And do all of your venues kind of have to opt in if they want to have political ad spend versus not to kind of allow them to show them or not want to show them?
Jon Niermann: Yes. So for that, we just want to make sure that's part of the AI that we use, to make sure the venues are. And it's not any different content that we show. It's a family-type venue, et cetera. So we're very careful with, in terms of ads and forcing things on people, obviously. So they always have that function not to do that. But just to your first part of your question is the previous quarter of last year, when we had the $14.8 million, a large portion of that was political advertising. And I think the point we were trying to make was the $10.2 million this time would have been more just on the organic growth alone than it was that quarter, so which we think is a very encouraging sign for the core business. So when you start to then layer on what we believe to be the future of advertising, we think that's good.
Operator: Our next question comes from the line of Darren Aftahi with ROTH MKM. Please go ahead.
Darren Aftahi: Hey, guys. Thanks for taking my questions. Nice job on the progress. Jon, so I just want to make sure I heard you correctly on your last comment that responding to Eric's question. So if you were to strip out political a year ago, you actually grew year-over-year. Is that correct?
Jon Niermann: Yes. For the core business, yes.
Darren Aftahi: Got it. Okay. That's helpful. And then maybe another question on the attrition of the players. So there's always the attrition of a unit and then there's revenue attrition. So it sounds like a lot of the players didn't get upgrade cycles with technology, et cetera, or maybe weren't efficient in yielding any kind of revenue. So I guess my question, is there a way to quantify what kind of revenue impact attrition there was with those 3,200 players?
Jon Niermann: Just based on those 3,000, it's, I think, a little difficult, Darren, to say exactly what that would be. But we know not as meaningful in the sense that we've still maintained a majority of the players that are generating the revenue. So put it this way, it's not like those that we lost were generating a ton of revenue and then they're gone. So if that's kind of your question. It's basically is very, very minimal. So those that were coming off are off for a reason, primarily. And they're either not using a player like they should or they're not the ideal location or demographics. So for us, it's not a bad thing. It's really just kind of part of the natural growth process and evolution.
Darren Aftahi: Great. And on your gross margin, it looks like that improved. I'm more curious on two things that relates to that. One, with bringing on a large partners you did in the last quarter, this is sort of the first full quarter of having that partner on and whatever, 42,000, 43,000 screens. One would assume based on the initial deal you did with your first partner; gross margins maybe would have been lower. So I guess my question is, is your second partner having a different gross margin profile than your first and then have an over-index impact on gross profit in the quarter?
Jon Niermann: Yes. As we continue to grow distribution, our leverage grows and the opportunity to do better deals certainly happens. So any historic deal that we might have done 1.5 years ago, a deal that we would do today wouldn't look the same. But I think, yes, we see a better impact on the bottom line, a better share for us.
Neil Watanabe: Darren, even though we talked about expansion on the partner platform, it still carries a lower margin, but less operating expense than our Loop Players. So as we add that on, pace is higher in the quarter than what our Loop Players is from a sales standpoint, we're always going to have some of that rate percentage difference that will bring the rate down. But again, the profitability, as we've talked about is very similar to the partner platforms of the Loop Players. But mix that we talked about on the discussion or in the press release is part of the reason for where that rate can sometimes be compressed a bit.
Jon Niermann: But it is a better rev share back to Loop, Darren, which I think is the key thing.
Darren Aftahi: Got it. That's helpful. And just if I could sneak one more in. Local, I know you guys launched that. I think it was sort of piloted in the quarter we were in. I don't think any local revenue contributed to the quarter, maybe correct me if I'm wrong. But I'm just kind of curious about your aspiration, thoughts and prospects for local as we go into calendar '24. Thanks.
Jon Niermann: You're right. For the quarter, nothing meaningful to kind of really full beta through the quarter, kicking in now, again, towards the latter half of the year. So I think you'll start to see it more in the second half. But we're certainly still very optimistic about it. We just want to make sure that it's working right, and it's being tested, which it is, and everything from the type of images that they use. Is it video? Is it still? There's just a lot of learnings that we're pulling out of the beta that will make it easier for us. And we'll be able to then, I think, monetize it much better as we're going along.
Operator: Our next question comes from the line of David Marsh with Singular Research. Please go ahead.
David Marsh: Yes. Hi. Thanks, guys, for taking the questions and congrats on the quarter. I mean, it seems like some real improvement here. First, quick housekeeping. What is the nonrecurring expense of 257k and how long do we expect that to be popping up in the financials?
Neil Watanabe: David, that isn't expected to continue. We had some expenses that were related to some capital raise activities that didn't consummate. So we recorded that as a sort of a onetime expense that we added back in that nonrecurring transaction line, but at this point, as you can go back marching through our historics, we haven't had much of the nonrecurring. So it's, I think, an isolated situation, at least for that one quarter.
David Marsh: Okay. That's really helpful. And then just transitioning more to the business fundamentals. Last year, first calendar quarter, I mean, we kind of had like advertising nuclear winter, I'll call it. Can you just talk about how things are pacing this year with 1 month in the books and give us a sense of what it feels like year-over-year.
Jon Niermann: Well, I think as we said, this quarter is always kind of odd as it starts for anyone that deals in advertising. You kind of look at January and then look past it. So for us, we don't see any kind of, I wouldn't say the nuclear winter like you said. I think you see all the signs that the advertising industry is rebounding, et cetera. But quite simply, it's pacing as expected for us.
David Marsh: Okay. That's fair. And I guess, have you seen anything in terms of political at this point or is it just too early in the markets where you're concentrated to have seen anything?
Jon Niermann: Just starting to see it. So we think that it definitely could be an interesting election, right? So we're just kind of starting to see some of that trickle in, which is good. But again, second half of the year when you start to have conventions and everything like that, I think is going to get a majority of it, but it's certainly starting to come in.
David Marsh: Okay. And then just kind of lastly for me, just wanted to talk about gross margin. I actually thought that the gross margin posted here in the first quarter was really strong given your mix of players that it's now more on the partner side versus the kind of QAU side. And I just wanted to kind of get some color from you guys on how this gross margin can trend if partner is a bit heavier component to the mix as we go forward.
Neil Watanabe: You know, David, you're absolutely right. We ended Q4 with 27.5% gross margin on a $5 million revenue number. So I think improving 700 basis points quarter-over-quarter kind of reflects that as we can get the revenue to certain levels, we can certainly leverage that appropriately. And going forward, between the mix and some of the opportunities we're doing to rationalize relationships and negotiate better margin and do those type of efforts. And looking that we can certainly go north of obviously, the 35% that we came into Q1. So it's a bit revenue contingent, but I think it proves that as we get to a certain level of revenue, we can leverage the cost of goods very well. And they become portions of it fixed and so we get the benefit of margin rate expansion. So I think we've indicated in the past that we certainly think that our opportunity for margin rate is certainly can go north of what we just posted.
David Marsh: Okay. That's really helpful guys. Again, congrats on the quarter, it's a really great sequential quarter. So it's really nice to see.
Operator: That concludes the Q&A session. Back to Jon Niermann for closing remarks.
Jon Niermann: I just want to thank everyone for joining the call today, and we look forward to speaking to you with an update again next quarter. Thank you very much. Goodbye.
Operator: This concludes today's call. You may now disconnect.